Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Korn/Ferry International Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors.
 Certain statements made in the presentation today, such as those relating to future performance, plans and goals, will constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and the company's annual report for fiscal 2011, and in the other periodic reports filed by the company with the SEC. 
 Also, some of the comments today will reference non-GAAP financial measures, such as adjusted operating earnings. Investors should review our reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures contained in the release relating to this presentation, which is posted on the company's website at www.kornferry.com.
 With that, I'll turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison. 
Gary Burnison: Well, thank you, and good afternoon, everybody. I'm going to -- I've got some prepared remarks here and then we'll turn it over to Bob Rozek, our CFO, then Gregg Kvochak, who you know. I guess I would parse my comments into a couple, one is looking in the rearview mirror, and the other is looking out the windshield.
 We performed again at a very high level for the year and the quarter. Our revenue of $790 million for our fiscal year essentially tied the highest in our history, with an operating margin of almost 11%. The top line was slightly up year-over-year at 6%, and that's with our leadership solution offering up 16%. And Futurestep was up 26%, which I think is a good validation of our strategy.
 Our search segment without the leadership offering was down 1%, and that was primarily due to softness in financial services and technology, and that was offset by strength in the industrial market and life sciences.
 We ended the year with $418 million of cash and marketable securities. For the quarter, our results were slightly better than our expectations. Quarterly revenue was $198 million, and that was up nearly 7% sequentially and slightly up year-over-year. For the quarter, we achieved adjusted EPS of $0.28.
 As I sit here today and I think back about 3 years ago, exactly 3 years ago when we were at the trough of the great recession, I look back over these 3 years, and I'm immediately proud. I mean, our business overall is up about 85%. Back then, 3 years ago, I think in our final quarter of fiscal '09, we were doing about $107 million. Here this quarter, we ended the quarter with $198 million.
 And when I think about that performance, it's not just absolute, it's relative. So I think about that and that we're up 85% from the trough, I look at the statistics from the Association of Executive Search Consultants, and I see in this quarter that the industry was down 6% sequentially, and Korn/Ferry showed sequential growth.
 I also think today about our business in this last year. 90% of our top 50 clients use at least 2 of our 3 service lines. We continue to move the search business to the top. Our average fees today, when we take out the LTC piece of the segment, are $110,000. That's up 50% from 5 years ago. Many of the top business schools in the United States now use our intellectual property. We recently assessed our 1 millionth executive in our firm's history. We did a lot of things on the thought leadership and branding side this past year.
 And finally, you look at our mix of business today, 29% of the organization is from our LTC offering and Futurestep. 
 Now when I look out the windshield, and looking forward, it is clear that the environment is very tenuous and is rapidly changing. And I don't need to tell you about the ebbs and flows of the market and the May equity swoon and what's happening in China and the uncertainty. But one thing is for sure, and that is almost every business today is finding seemingly increased headwinds. Now for us, we're going to have to face those headwinds as well, but I believe we've got an incredible opportunity to cascade this brand, this fabulous brand that we have, the brand permission into a broader spectrum of talent management capabilities.
 And that's what we're trying to do, is to make this brand synonymous with talent management and, most importantly, linking our client's talent strategy to their business strategy. So as I look out the windshield here, we're going to continue to accelerate our strategic initiatives. We're going to capitalize on our strong balance sheet. We're going to cultivate the incredible talent that we have in this organization, all while balancing investment and profitability. We're going to systematically drive a more integrated approach to going to market, to continue our evolution to a solutions-based organization. I think about our leadership offerings today, they're delivered to almost half of our strategic accounts.
 We'll also continue to differentiate this brand through R&D and intellectual property. I mentioned the business schools in the U.S., but there were a couple of examples this quarter where we sold big licenses to Fortune 500 companies around our intellectual property, around learning agility and development. That's very exciting for us going forward. We're going to continue to make the brand more elastic, to elevate the brand and increase mind share and relationships with global organizations.
 We're obviously going to continue this journey we're on, with the systematic and pragmatic approach to M&A that really accelerates our transformation as the leading global provider of human capital solutions. And finally, we're continuing to advance our organization as the premier career destination.
 And so when I think back now in the face of last year's economic malaise, I am proud. I'm proud of the steps that we've taken in the firm's transformation, helping our clients achieve extraordinary results through their people. But I'm also very mindful about the environment, looking forward, that most businesses are facing.
 So with that, I'll turn it over to Bob, and go right ahead. 
Robert Rozek: Thanks, Gary. Good afternoon, everybody. I'm going to provide a little bit more -- probably granular color on the results for the quarter and for the full year. Despite the choppy and uncertain economic environment, our top line was very resilient as Gary indicated, in both the fourth quarter and for the full year fiscal of 2012. And as Gary said, these results really validate our strategic direction of diversifying our service offerings to address the broader talent management needs that face many organizations today.
 We did finish fiscal 2012 with a near-record consolidated fee revenue of $790.5 million, and that's just $100,000 shy of our all-time high. On a constant currency basis, our consolidated fiscal 2012 fee revenue grew $28 million or nearly 4%, with growth coming from all of our operating segments. Our growth in 2012 continue to outpace many of our industry competitors. In the fourth quarter, on a constant currency basis, fee revenue grew $10.2 million or 5.8% sequentially and was up $2 million or 1% compared to the fourth quarter of fiscal 2011.
 Now looking at new business trends, they also improved in our fiscal fourth quarter, with the number of newly opened combined executive search and leadership talent consulting assignments growing 6.5% compared to our fiscal third quarter. However, as Gary says, looking out the windshield, the pace of new business awards has been choppy, with sequential growth in the months of January through March followed by decline and flattening in the months of April and May. And I'll provide more insights on this as we discuss our fiscal 2013 first quarter outlook later on the call.
 Now despite the improved revenues, our operating earnings trends for the full year and in the fourth quarter were adversely affected by a number of items. With respect to the fourth quarter, at $15.4 million, our reported operating earnings were off about $10.8 million compared to the fourth quarter of fiscal 2011 and down about $800,000 or 5% sequentially. Now as mentioned in our last earnings call, the fourth quarter of fiscal '12 was adversely impacted by about $1.9 million of separation charges associated with certain senior management changes. And also, as discussed in the prior earnings call, our operating earnings in the fourth quarter of fiscal 2011 included a $2.2 million credit that was associated with the acquisition-related contingent consideration, and there was no such credit in the fourth quarter fiscal 2012. When you normalize for both of these items, year-over-year operating earnings were up about $6.7 million or 28%.
 Now there were some other items that adversely affected the fiscal 2012 fourth quarter operating earnings that include higher comp and benefits expense due to increase in salaries and overall headcount that was put in place to drive our revenue growth, increased premise and office costs, higher legal and professional fees, and we had foreign currency translation losses that were incurred in the fourth quarter fiscal 2012 versus foreign currency translation gains that were in the fourth quarter of fiscal 2011.
 Partially offsetting these amounts was lower bad debt expense that resulted from strong cash collections in the fourth quarter. On a sequential basis and excluding all the restructuring that we had in the third quarter and separation expenses in the fourth quarter, operating earnings were actually up $200,000 or 1%. And I'd also highlight the fact that our incentive compensation charges for bonuses were higher in the fourth quarter than they were in the third quarter.
 For the full year of fiscal 2012, our operating earnings were $85.7 million, with a 10.8% operating margin compared to $87.9 million with an 11.8% operating margin. And on a net basis, foreign currency had very little impact on our operating earnings because the positive impact we had on the top line, we had it almost equally in offsetting, a negative impact on operating expenses.
 So the $2.2 million year-over-year decline in the operating earnings was influenced by the items that obviously impacted the fourth quarter comparison, as well as those that we've previously mentioned on the call that we had with respect to Q1, Q2 and Q3 earnings. And then driven primarily by our strong profitability, our strong fourth quarter cash collections and efficient working capital management, our fourth quarter ending cash and marketable securities balance improved $66 million sequentially to $418 million. Now when you exclude cash and marketable securities that are reserved for deferred compensation arrangements and accrued bonuses, the current investable cash balance is approximately $224 million, which is up $34 million or 18% versus the third quarter.
 And then finally, for the fourth quarter, our reported diluted earnings per share fell $0.18 or 42% year-over-year to $0.25 and were flat sequentially. Now excluding the fourth quarter separation charges, adjusted diluted earnings per share were $0.28. Included in fiscal 2011 fourth quarter net income and earnings per share were $0.04 of non-recurring tax benefits. When you normalize for those tax benefits, our fiscal 2012 fourth quarter adjusted diluted earnings per share were off $0.11 or 28% year-over-year. Also on an adjusted basis, our diluted earnings per share in the fourth quarter were up $0.02 or 8% sequentially.
 For the full year of 2012, our reported earnings per share were $1.15, down from $1.27 in fiscal 2011. Our full year adjusted diluted earnings per share were down $0.06 or 5% coming in at $1.19 versus $1.25 in the prior year. And again the adjusted diluted earnings per share would exclude restructuring and separation charges in 2012 and restructuring charges in non-recurring tax benefits in 2011.
 I'm going to turn the call over to Gregg, who will review our operating segments in a little more detail. 
Gregg Kvochak: Thanks, Bob. Starting with our Executive Recruitment segment, driven by relatively stable demand from our core executive recruiting services and steadily increasing demand from our leadership and talent consulting offerings, consolidated fee revenue in the fourth quarter for our Executive Recruitment segment was $168.8 million, up $8.7 million or 5.4% sequentially, and down $3.2 million or 2% year-over-year.
 Growth in the fourth quarter was broad based, with all of our operating regions up except Europe, which, in a tough economic environment, was essentially flat. On a constant currency basis, our Executive Recruiting segment fee revenue in the fourth quarter was up $7.6 million or 5% sequentially, and down only $2.2 million or 1% year-over-year. Sequentially, growth was achieved in every major specialty market, including financial services and technology, which were up 16% and 14%, respectively from third quarter lows.
 For all of fiscal 2012, Executive Recruitment fee revenue grew $9.1 million or 1% on a constant currency basis, with slower growth in core executive search, offset by stronger growth in leadership and talent consulting services. In the North American region, fourth quarter fee revenue was $95.5 million and improved approximately $5.5 million or 6% sequentially and was off only $1.4 million or 1% year-over-year.
 Sequential growth was broad based with all specialty markets up, with the exception of consumer goods, which was essentially flat. Sequential growth was strongest in the life sciences health care practice, up 24%; the technology practice, up 14%; and the industrial practice, up 4%, The financial services practice in North America was up 34% sequentially from trough levels in the third quarter.
 For the full year, executive search and leadership and talent consulting revenue in North America was up 1.5% in fiscal 2012. Newly confirmed assignments in North America were up 9% sequentially in the fourth quarter and up 1% for the full fiscal year.
 In Europe, despite escalating economic turmoil, revenue trends in the fourth quarter remained relatively stable. At actual rates, Europe's fee revenue fell only $370,000, or 1% sequentially in the fourth quarter to $40.1 million. On a constant currency basis, Europe's fourth quarter fee revenue was off only $800,000 versus the third quarter, and $720,000 or 2% year-over-year. 7 of 17 countries grew sequentially in the fourth quarter, led by Switzerland and the U.K., which were up 28% and 5%, respectively.
 On a specialty practice basis, growth in the consumer goods, up 25%; and financial services, up 2%, was offset by weakness in all other practices. For all of fiscal 2012, Europe's fee revenue grew 2.6% or 2% on a constant currency basis.
 After a seasonally weak third quarter, fee revenue in Asia Pacific rebounded in the fourth quarter, growing to $23.3 million. On a constant currency basis, fee revenue in the fourth quarter of fiscal 2012 was up $2.2 million or 10% sequentially and was down $1.5 million or 7% year-over-year.
 7 of 11 countries grew sequentially in the fourth quarter, led by Australia, up 28%; China, up 10%; Hong Kong, up 31%; and India, up 9%. On a specialty practice basis, strongest growth was achieved in the industrial and technology practices, which were up 26% and 34% sequentially. For all of fiscal 2012, Asia Pacific's fee revenue was essentially flat and $90.6 million on a constant currency basis.
 Fourth quarter fee revenue growth was also strong in South America. Measured on a constant currency basis, South America's fourth quarter fee revenue was up approximately $940,000, or 11% sequentially, and up $1.3 million, or 16% year-over-year. 4 of 7 countries grew sequentially in the fourth quarter, led by Brazil, which was up 12%. For all of fiscal 2012, South America's fee revenue was up $1.7 million, or 5%, compared to fiscal 2011 on a constant currency basis.
 The total number of Executive Recruiting consultants at the end of the fourth quarter was 442, up 1 sequentially and down 29 year-over-year. Annualized fee revenue production per consultant was up 7% sequentially in the fourth quarter to approximately $1.44 million per consultant. Consolidated Executive Recruitment segment operating earnings were $27.9 million in the fourth quarter, down $900,000 or 3% sequentially and down $2.8 million or 9% year-over-year.
 Lower year-over-year profitability was driven primarily by weaker profits in the core executive search practice, which was offset by improved profitability in the leadership and talent consulting practice. The consolidated executive search operating margin was 16.6% in the fourth quarter compared to 17.9% in the fourth quarter of fiscal 2011 and 18% in the third quarter of fiscal 2012.
 Excluding all restructuring and separation-related charges, fiscal 2012 total year consolidated Executive Recruitment segment operating earnings were $129.3 million with a 19.1% operating margin, representing a year-over-year improvement of $15.6 million or 14%, with 170-basis-point improvement in margin.
 Now turning to Futurestep, which also posted strong revenue growth in the fourth quarter. On a consolidated basis, Futurestep's fee revenue grew over 15.6% year-over-year and over 13.2% sequentially, reaching $29.3 million. Measured on a constant currency basis, fourth quarter fee revenue was up $4.2 million or 16% year-over-year and up $3.2 million or 12% sequentially. Geographically, sequential growth was strongest in North America and Europe, where constant currency growth was 16% and 10%, respectively. For all of fiscal 2012, Futurestep's fee revenue grew $18.8 million or 21% on a constant currency basis.
 Futurestep's reported operating earnings and margin were $782,000 and 2.7% in the fourth quarter. Excluding senior management separation charges, Futurestep's fourth quarter operating earnings were $1.7 million with a 5.8% operating margin and were up $660,000, or 64% sequentially, and $186,000 or 12% year-over-year. On the same basis, Futurestep's full year operating earnings improved $2.4 million, or 50%, to $7.3 million, with a 100 basis point improvement in margin to 6.4%.
 I'll now turn the call back over to Bob to discuss our outlook for the first quarter of fiscal '13. 
Robert Rozek: Thanks, Gregg. As we look forward, the worldwide market conditions obviously remain extremely volatile and uncertain. In fact, based on recent movements that we're seeing in the equity markets, it appears that confidence in any sort of meaningful near-term economic recovery is very mixed today. And as usual, monthly new business awards were seasonally strong in our fourth quarter, as I previously indicated, peaking in the month of March. However, executive search new business was down in April, relative to what we saw on March. And May new business was essentially flat with April.
 Assuming relatively stable economic conditions for the remainder of the quarter and assuming that June and July new business confirmations are in line with what we saw in May, we expect fiscal '13 first quarter fee revenue to likely range from $172 million to $188 million. And earnings per share will likely range from $0.14 to $0.22. This guidance also assumes foreign exchange rates remain at or near current spot rates and that financial markets remain relatively stable in today's terms.
 And finally, consistent with our historical practices, we're continuously evaluating our cost base in relation to projected near to midterm demand, to ensure that our cost structure aligns with the current realities of our markets. If actual and projected fee revenue continue at current levels, we may find it necessary to take more aggressive cost reduction actions to better align our cost structure with anticipated demand, appropriately sizing the firm to maintain strong operating profitability.
 With that, I'll conclude our prepared remarks for the day, and we would be glad to answer any questions that you may have. 
Operator: [Operator Instructions]  And we're going to go to the line of Tim McHugh with William Blair. 
Stephen Sheldon: Yes, this is Stephen Sheldon in for Tim McHugh today. Could you provide a little more detail on what you're seeing in the financial services sector broadly? And then maybe talk specifically about the sequential growth you saw in the sector in North America? 
Gary Burnison: Yes. The -- well, the financial services sector is very challenged with a lot of regulatory uncertainty. I would assume that the -- what we saw in the fourth quarter, we saw a sequential increase in financial services in both Asia and North America. And I wouldn't expect that to continue. Our view is that, that market's going to continue to be challenged. 
Stephen Sheldon: And then your cash balance has grown considerably. Could you provide any detail on what you may be planning to do with that cash? 
Gary Burnison: Well, we -- our first priority is to invest it in the business. And we    overall, we see a $15 billion market opportunity, we want to have 10% of it. And so first and foremost is to continue to look for ways to elevate and extend this brand and create a differentiated platform. So that's first and foremost, and that's where we've got to demonstrate a track record of doing, and that's what we're going to continue to do. 
Operator: We're going to try Tobey Sommer's line from SunTrust again. 
Tobey Sommer: Could you describe the sequential change in confirmations as you got into April and May? Because I know -- I think I recall that historically, April can see a little bit of a sequential fall off even in a normal market, let alone an uncertain one. So any additional color you could provide would be useful. 
Gary Burnison: Yes. Well, I would say that -- first of all, March was significantly higher than the past months before that. And so when I look at April and May, I would say that they're down about 10% from the prior, call it, 5, 6 months trailing average. That's kind of the way I would look at it. I think March was unusually strong. 
Tobey Sommer: And then when you look at the business at the C-suites or board level, historically, has there been any either industries or levels within executive search that have been canaries in the coal mine for significant changes in demand, either on the upswing or the downswing? 
Gary Burnison: Yes. Usually financial services, in what -- my professional career and then including in this business, financial services has generally been the first one in a recession and the first one out. And we did see that in the great recession for sure. This has been substantially different over the last several months. It's an invisible recovery here. So we haven't seen that life sciences, and health care has continued to be strong for us, as well as industrial. But the canary in the coal mine historically, Tobey, has been financial services. 
Operator: And we'll now go to the line of Mark Marcon with R.W. Baird. 
Mark Marcon: I was wondering if you could talk a little bit about the European margins during the quarter in terms of what happened sequentially. 
Robert Rozek: Yes, I think there's -- Mark, this is Bob Rozek. I think there's a couple of things with respect to the margins in the European business. One would relate to the incentive compensation and, as we looked across the profitability of that business during the course of the year, we're sort of what I would call true up adjustments in the fourth quarter with respect to their incentive compensation. So that put a little bit of downward pressure on it. And the other thing that we're seeing in our European business is the -- what they call their import/export relationships, and Europe is actually becoming a bigger exporter of business activity across that platform. Historically, they were a bigger importer. And that has some downward pressure on the margins as well. That is an area that we're going to be focusing on as we look into FY '13 in terms of making sure that we rebalance that out properly to transfer pricing and so on. And we'll also look to work with Bernard in terms of what we can do to continue to bring those margins back to what we've seen in historical quarters in the 12%, 13% range. 
Mark Marcon: Can you explain that import/export dynamic a little bit more? 
Robert Rozek: Yes, when we -- when transactions are initiated, the initiator gets a certain percentage of the revenue and then the executor gets the remaining percentage revenue. That's usually like an 80-20 split. In terms of the way individuals are compensated, it's not aligned to the 80-20, it's more of a 50-50. So if you're an exporter under our current pricing methodology and allocations protocol that we have in place, there's a drag on your margin as a result of that. 
Gary Burnison: I'd say, Mark, that you look at it and -- I look at the yearly performance of Europe, and I think it was, Gregg, it's up 3%. Personally, I would add a 0 to that. I mean, I think that's an incredible achievement, given what's going on. But what Bob's talking about, I think, just reflects the fight for Western economies for growth. And for example, in this case, European companies are looking for growth outside the traditional borders. 
Mark Marcon: And then -- that certainly makes sense. And then as we look out towards this coming quarter, you gave the commentary with regards to what you're seeing in terms of the confirm trends in April and May, where are you seeing the sharpest decelerations? You mentioned 10% down in terms of April relative to May or relative to March. Where -- is that across the board or... 
Gary Burnison: I think again, the March is not a good one, so let's -- I would pull that out. And I think that the lift we got out in financial services, I would like to say it's sustainable, but I wouldn't bet on that. So when we look at it more broadly, it's fairly balanced. I mean, there's not a discernible trend that you can glean into these numbers. 
Mark Marcon: How about from a geographic perspective? Is it similar? Or are you seeing any of the pronounced weakness in Europe starting to have any impact? 
Gary Burnison: Again, I think it's been fairly broad, Mark. And certainly, this month is way too soon to call, but we're slightly ahead of where we were this time last month for whatever that's worth. 
Mark Marcon: So you're just trying to be conservative in terms of the guidance that you're providing, based on what's understandable in terms of everything that we're reading and seeing? 
Gary Burnison: Well, I don't know if it's -- again, I don't want to use conservative or liberal. I would only say that for just about any business, there's going to be a challenging few quarters here. And I think there's going to be a real fight for growth and relevancy, and I think the first job of a leader is to define reality. And I think it's very challenged. 
Mark Marcon: Can you talk a little bit about what you're seeing with regards to your competitors? And any sort of coaching activity and how it's looking from your perspective in terms of recruiting people to Korn/Ferry? 
Gary Burnison: No. I mean, I haven't seen any noticeable change. We continue to invest into the brand. And whether that's intellectual property or solutions or people, we're going to continue to do that, but we're going to also strike the balance between investment and profitability. 
Mark Marcon: And then can you also discuss what you're seeing in terms of client chatter related to LinkedIn and other potential technologies and how they're viewing that and how it impacts the value equation? 
Gary Burnison: Well, I think the good news is that the world is flat, and that's the bad news. And that there is an overwhelming amount of data candidates. Everything is accessible certainly more readily. Now the question is, now what do you do with that? So on the one hand, it makes the world much easier and particularly at the lower levels. I mean, there's no question, where culture fits isn't as big of a piece. I think that, that has and will continue to have a pretty big impact on that segment of the market. But with the outliers of achievement, just take our average fee without the leadership business of 110,000, you're talking about the outliers of achievement there. Culture fit, leadership style, thinking style are extremely important, more so than even technical competency. And that's why we're anchoring the business in intellectual property, because we think the future is not finding people but really finding out who somebody is. 
Mark Marcon: And then I certainly appreciate the continued emphasis in terms of trying to grow the business, but how are you thinking about the cash relative to the current equity value of the organization? 
Gary Burnison: Well, that's not for us to comment on. I can only say, Mark, that when I came in this company 10 years ago, we had less than $30 million of cash. And those days are still very fresh in my mind. The days of -- 3.5 years ago where seemingly the world fell apart is also very fresh in my mind. So I think we're probably not that much different than corporate America, which is sitting on a lot of cash. And we're very cognizant of that, and we're also cognizant. We can't have the cash earning 20 bps. That's not necessarily the right thing to do in the long term. So we're just trying to strike that kind of balance. But as I indicated earlier, our first objective would be to try to use it in the business. 
Mark Marcon: How much is    how much are the bonus payouts going to be? 
Gary Burnison: We ended the year with almost 420 of cash, let's just call. I'm rounding now, Mark. Let's just call it 120. So that gets you kind of $300 million of cash. As Bob and Gregg said, there's some monies locked up for deferred comp, right, to the tune of, I don't know, 70. So something like that. 
Gregg Kvochak: We have roughly around 220 to 230 that's available. 
Robert Rozek: That's right. 
Gary Burnison: Yes, without any -- we've obviously got credit lines available to us and all that, but yes, yes, yes. 
Operator: We'll next go to the line of Jennifer Huang with UBS. 
Jennifer Huang: Can you maybe talk about South America? I noticed that, that was very strong, driven -- as you mentioned in the prepared remarks by Brazil. Could that be -- is that sustainable into next year, do you think? Because -- revenues as well as, I guess, the operating margin. Because that could be potentially almost as big as Asia, if it's sustainable next year. 
Gary Burnison: Well, it's certainly a fascinating place, but we've got to recognize that    Latin America, if we include Mexico, we don't include these numbers in there, but it's still -- it's a smaller part of the portfolio today. And we don't project out more than a quarter. And clearly, what we saw in the fourth quarter, it was -- just take Brazil, it was the best quarter we've seen there for probably 7 quarters or so, something like that. So we've got a great team. We're continuing to invest in that team, but I can't make any comments really beyond the next quarter. 
Jennifer Huang: But nothing this quarter that you would think was a few particularly large -- large transactions or anything like that? 
Gary Burnison: Again, I'm not expecting the next quarter's performance to be necessarily as good, given what I've talked about earlier. But that's probably as far as I'd go. 
Jennifer Huang: And then on the LTC business, it seems like that was very strong. And I was just wondering, just in general, as we're seeing companies face uncertainty in this environment, right, are they pulling back on HR-related spending or assessment spending? Or just in general, do companies tend to keep that, I guess, stable? Because as you mentioned before, they're trying to do more with less people or less personnel, and that's an area where they must spend. I mean, what's -- maybe you can talk about the dynamics there in terms of how companies think about it. 
Gary Burnison: Well, we hope that that's the case. Overall, I would only -- the fundamental basis for the strategy is to differentiate the brand, to make the brand synonymous with talent management, to be able to go to a CEO, a board and say we can not only help you find great people, we can help you engage those people, align them to the strategy, develop them, retain them. I mean, that's absolutely what we're trying to do, to differentiate the organization and the brand. And when I look at both the Futurestep and the leadership businesses, if I look back in the great recession, those businesses were essentially half as cyclical, generally speaking, as the executive search business. When we look at it so far here, when we look at this quarter, what would happen year-over-year and sequentially, it certainly gives me a lot of enthusiasm when we see not only our search brand move up and the average fee at $108,000, $110,000, something like that, without the leadership offering. But not only when I look at that, but when I see the leadership business and the Futurestep business growing at the rates they are that -- I think that's a pretty good validation of the strategy. But look, make no mistake, we're a consulting business, that is what this firm is, and there's a piece of the spend that's discretionary. And we have to be very, very cognizant of that. But we think in those businesses, that we have multi-hundred million dollar opportunities. 
Operator: We'll now go to the line of Ty Govatos with CL King. 
Ty Govatos: A small question, bonus accrual for the fourth quarter? 
Robert Rozek: The bonus accrual in the fourth quarter was approximately $32 million, $33 million. 
Ty Govatos: And can you go in at all and discuss the increase in legal and professional fees you mentioned? 
Robert Rozek: No, we normally don't get into that level of detail on these calls. 
Operator: We'll go to the line of Kevin McVeigh from Macquarie. 
Derek Sbrogna: This is actually Derek Sbrogna in for Kevin McVeigh. I was wondering if you guys could just detail how much you spent on professional services in the quarter? And then as a follow-up to that, if there's any thought to using some of that for buybacks? 
Gary Burnison: Well, again, when it comes to our capital strategy, we're -- again, our first priority is to invest that in the business. And as a board, we have an ongoing dialogue and regular review of the different investment opportunities we have and alternatives. And to this point, I think we've got a very good track record of taking that capital and investing it in the business. 
Operator: Our final question today will come from the line of Giri Krishnan with Credit Suisse. 
Giridhar Krishnan: I guess, a question around your comments about big licensing deals for IP to Fortune 500 firms. Is that something you're seeing also internationally? And when you talk about large deals, what -- is there any dollar terms you can assign to what today constitutes a larger deal? 
Gary Burnison: Several hundred thousand dollars. That to me is a larger deal. And several years ago, we made an initial investment into intellectual property and tools, products that enable a CEO to align their people's strategy to what they're trying to achieve strategically. And these tools were very bullish on, long term and what this could mean for the organization. So in these 2 particular cases, Fortune 500 companies that are using our intellectual property to develop their workforce. 
Giridhar Krishnan: And the question around international, are you seeing similar demand for such deals internationally too? 
Gary Burnison: Well, these were global companies, and they were in multiple languages. And I want to say -- I think it was both of them that are in multiple languages, but one of them is, for sure, with a very, very prominent company. 
Giridhar Krishnan: And last question, just a clarification on your revenue guidance. Are you assuming, in both South America and Asia Pac, sequential revenue declines? 
Gary Burnison: Look, we're -- I mean, overall, we're -- the guidance assumes that things stay like they did in terms of new business awards in May. And if it goes south from there, revenue is going to be lower. If it goes higher, revenue will be slightly higher. 
Giridhar Krishnan: So it's an across the board sort of trend? 
Gary Burnison: I mean, again, I wouldn't -- I'm not going to try to parse it that finely. But broadly speaking, that's how it's based. 
Operator: All right, Mr. Burnison, I now turn it back over to you for any closing remarks. 
Gary Burnison: Well, listen, I want to thank everybody for listening to this call. And again, I would look back over this past year and think of the word pride for our -- what we've done for our clients, helping them achieve extraordinary results through their people. I'm also proud of our organization in this kind of economic environment. And at the same time, I'm energized and excited as I look out the windshield because with this kind of environment, it creates opportunity. And I think we're very well positioned on a number of different dimensions to seize that opportunity. So with that, I'd say good evening and thank you. 
Operator: Ladies and gentlemen, this conference call will be available for replay for one week starting today at 7:00 p.m., Eastern Daylight Time and running through the day, June 20 at midnight. You may access the AT&T executive playback service by dialing 1 (800) 475-6701 and entering the access code 250110. International participants may dial 1 (320) 365-3844. Additionally, the replay will be available for playback at the company's website, www.kornferry.com in the Investor Relations section. That does conclude our conference for today. Thank you for your participation and for using AT&T's executive teleconference. You may now disconnect. Speakers may remain on the line.